Operator: Greetings, and welcome to the Bright Horizons Family Solutions First Quarter 2015 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host, Mr. David Lissy, CEO for Bright Horizons Family Solutions. Thank you, and please go ahead, Mr. Lissy. 
David Lissy: Thank you, Jerry, and greetings to everybody from the Boston area. Greetings to everybody out there. Joining me on the call today as usual is Elizabeth Boland, our Chief Financial Officer, who will take you through the safe harbor before I kick off the call. Elizabeth? 
Elizabeth Boland: Thank you, Dave, and, hi, everybody. Thanks for joining us today. And our call is being webcast. Our earnings release, which was issued after the market closed today, and the webcast recording of the call are or will be available under the Investor Relations section of our website, brighthorizons.com. 
 In accordance with Regulation FD, we use these conference calls and other similar public forums to provide the public and the investing community with timely information about our recent business operations and our financial performance, along with forward-looking statements on our current expectations for future performance. Forward-looking statements inherently involve risks and uncertainties that may cause actual operating and financial results to differ materially. These risks and uncertainties include our ability to successfully implement our growth strategies, including executing contracts for new client commitment; enrolling children in our child care centers; retaining client contracts and operating profitably in the U.S. and abroad; our ability to identify, complete, successfully integrate acquisitions and to realize the attendant operating synergies; the decisions around capital investment and employee benefits that employers are making; our ability to hire, retain qualified teachers and other key employees in management; our substantial indebtedness and the terms of such indebtedness; and lastly, the other risk factors, which are set forth in our SEC filings. 
 We'll also discuss certain non-GAAP financial measures on this call, which are detailed and reconciled to their GAAP counterparts in our press release. 
 So let me turn it back over to Dave for the review and update of the business. 
David Lissy: Thanks, Elizabeth, and hello again to everybody joining us on our call today. As usual, I'll update you on our financial and operating results for this past quarter as well as our business outlook for the rest of 2015. Elizabeth will follow me with a more detailed review of the numbers, and then we'll both be here for Q&A after that. 
 First, let me recap the headline numbers for the first quarter. Revenue increased 6% to $350 million, and adjusted EBITDA of $65 million was up 14%. Adjusted net income of $27 million was up 20% over the first quarter of 2014, which yielded adjusted earnings per share of $0.43, up 26% from last year's first quarter. Our revenue growth of $18 million was roughly in line with our expectations for the quarter. Full Service revenue was up $13 million over last year, Back-Up revenues increased to $42 million in the quarter, and Ed Advisory grew to $9 million. 
 We added 8 new centers this quarter, including new centers for Pioneer Natural Resources, the J.M. Smucker Company and Hoag Memorial Hospital. In our Back-Up and Ed Advising suite of solutions, we recently launched new -- service for new clients that included U.S. Bank, Rackspace, the Cleveland Clinic and The University of Chicago Medicine. 
 On our last call, we discussed the potential impact of foreign currency fluctuations on our results. For the quarter, we saw a headwind of approximately 2% on our revenue growth, more than $6 million, in relation to Q1 2014 as the strength of the dollar affected our reported results from our European business. 
 We're also pleased with the continued leverage at the operating income line. Our gross margin expansion this quarter drove a 180-basis-point increase in adjusted operating income from 10.4% to 12.2%. Consistent with what we've talked to you about on previous calls, the key factors contributing to this growth included the positive enrollment trend in our mature class of P&L centers, which are up approximately 2% over last year; price increases that averaged 3% to 4%; contributions from newer and ramping centers; strong performance in our Back-Up and Educational Advising segments; and lastly, the closure of a cohort of underperforming centers over the past year. Another factor in our margin performance that we've talked to you about in the past is the headwind from the larger classes of lease/consortium centers that we've opened over the last 2 years and continue to open this year. As we've discussed in the past, we fully expect our investment in this class of centers to create considerable value going forward. The contributions from the centers opened in 2013 and the first half of 2014 have begun to offset the losses from the more recently opened centers. And as a result, this headwind is diminishing, and we're therefore seeing more uplift in the Full Service margins year-over-year. 
 Overhead this quarter was on track with our plan. And continued top line growth, along with disciplined spending, should yield modest improvements in our overhead cost as a percentage of revenue as the year progresses. 
 So as you can tell, we're pleased to be off to a strong start in 2015. As we look ahead, we're well positioned to continue to deliver on our plan for the year. Our core business is in good shape with enrollment steadily increasing in our mature base of centers, and our newer class of higher-performing centers are ramping on or ahead of plan. We're also really pleased with the performance and opportunity that continues to exist in our Back-Up and Educational Advising segments, which are both poised to enjoy solid growth and also contribute to our ability to drive margin expansion. 
 Speaking of the Ed Advising business, this quarter, we also made a small change in when we begin to capture the portion of contract revenue for the data conversion and implementation of new clients. This has the effect of creating a slight lag of approximately 3 months as compared to when similar revenue hit last year. I just wanted to point that out -- that nuance out to you as there remains very good momentum in that business. All in, the selling environment remains positive, and the strength and breadth of our suite of services continues to be a strong competitive advantage for us in the market. 
 On the acquisition front, we're seeing good momentum from our pipeline of prospective high-quality centers. We have a good mix of smaller networks and single-center opportunities in our active discussion pipeline both here in the U.S. and in Europe. Of course, it's always hard to predict the timing, but we completed one deal in Q1. And based on what we see now, we expect that we'll realize a more typical run rate of acquisitions this year as compared to 2014. As I've talked to you about before, our priorities for capital allocation are: First, growth-related investments in acquisitions and new lease/consortium model centers, so of course, that's where we're focusing a lot of our attention and resources. Second priority is to enhance shareholder value through our repurchase program, which we continued to execute this past quarter through modest open-market purchases. 
 So to update you on our outlook for 2015 results. We continue to expect to see revenue growth in a range that approximates 7% to 10% over 2014 levels, which includes the continued impact of lower FX rates generating approximately a 2% headwind. We expect to expand adjusted operating income margin by approximately 100 to 125 basis points and to produce adjusted EBITDA in the range of $270 million to $275 million. Thus, we're increasing our guidance for full year 2015 earnings per share to a range of $1.74 to $1.77. 
 Before I hand it over to Elizabeth, I want to acknowledge the amazing dedication of our entire Bright Horizons family as we were once again recently honored for the 16th time to be included in Fortune Magazine's prestigious list of the 100 Best Companies to Work For in America. This honor belongs to each and every one of our employees and is a direct reflection of the passion and dedication that they bring to work every day that has a positive impact on those that we serve. 
 With that, Elizabeth, let me turn it over to you to review the numbers, and I'll back with you all during Q&A. Elizabeth? 
Elizabeth Boland: Thanks. So again, to recap a couple of the figures that Dave reviewed. Our top line revenue growth in the first quarter was $18 million. The Full Service Center business added $13 million on rate increases, enrollment gains in our ramping centers as well as the mature class and contributions from the 35 new centers that we have added since Q1 of 2014. 
 As Dave mentioned, the pound and euro FX rates declined measurably in Q1 2015 compared to Q1 2014, which dampened our revenue growth in the Full Service segment by more than $6 million or approximately 2 percentage points. On a common currency basis, therefore, the Full Service segment growth was nearly 7% in the quarter. The impact of centers that we have closed since the beginning of last year also offset top line growth in Full Service by about 2 percentage points. 
 The Back-Up division and Ed Advisory Services continue to grow the top line from both new clients as well as from expanded utilization of services by the existing client base. They also enjoy a rate increase in the same range of 3% to 5% -- 3% to 4%, excuse me. For Ed Advisory, in addition to the normal seasonality that we see from Q4 to Q1, the Q1 2015 revenue growth rate of around 11% reflects that slight variability that occurs in connection with the timing of our new client launches and the associated implementation phase of contracts that Dave discussed a minute ago. Gross profit increased $9.5 million to $87 million for the quarter. And gross margin was 24.7% of revenue, up 150 basis points in 2014 -- from 2014. As we've seen in prior quarters, our Back-Up and Ed Advisory Services both continue to deliver strong margin performance in concert with their revenue growth. In addition, both of these businesses generate gross margins that are more than double what we earn in the Full Service business. 
 On the Full Service side, performance also remained strong in our mature and ramping class of centers. The steady pace of year-over-year enrollment gains in the mature class that we've seen since 2011 has also continued into early 2015, and we realized over 1.5% increase in enrollment for that class in Q1. Strong cost management alongside this enrollment growth, plus the exit from underperforming locations, also contribute to the margin expansion. 
 As we've talked about on previous calls, we're now realizing the contributions from those investments that we made starting in late 2012 in our lease/consortium growth strategy. We've opened 30 of these centers over the past 2 years and expect to add 15 to 20 more in 2015. Although we expect to incur roughly similar level of losses from this group in 2015 as we incurred over the last 2 years, so in the range of $8 million to $10 million per year, we expect the headwind to gross margin to abate in the latter part of 2015 as the 2013 class will be generating gross profit at near-mature contribution level and the 2014 class continues to ramp their enrollment. 
 Overhead for the quarter was $37 million compared to $35 million in 2014 and was approximately 10.5% for both periods, adjusted to exclude the $500,000 in transaction costs associated with the secondary offering that we completed in March of 2014. Over time, with more scale in our European operations and our Ed Advisory business, we expect to be able to leverage our overhead spend in investments to support growth at levels that are similar to the 20 basis points that we realized in 2014. 
 Turning to a couple of other lines on the income statement. Interest expense of $10 million in Q1 of '15 reflects the full quarter impact of $165 million of incremental term debt that we borrowed in mid-December of 2014, which we used to fund the repurchase of 4.5 million shares acquired in connection with the secondary offering that we also completed in mid-December. We ended the quarter with 3.4x net debt-to-EBITDA, a reduction from the 3.6 turns (sic) [3.6x] that we reported at 12/31 of '14. And we expect to further reduce that ratio through EBITDA growth throughout the rest of this year. The effective restructural tax rate of 35.5% in Q1 of 2015 is based on the applicable rate for our projected full year 2015 operating performance. 
 Turning to the cash flow statement. We generated operating cash flow of $47 million in the quarter compared to $52 million in 2014, with the slight decline there due primary to the timing of collections and payments in working capital. After deducting maintenance CapEx, our free cash flow totaled $40 million for the quarter, and we ended Q1 of '15 with $124 million in cash and no borrowings outstanding under our revolving credit facility. 
 I'll quantify our quarter-end statistics before turning to our outlook for the rest of the year in Q2. At March 31, we operated 885 centers with capacity of 101,500, which is an increase of 1.8% over a year ago. The mix of contract types remains consistent, 75% profit and loss arrangements and 25% cost plus contract, as is the average full center -- Full Service Center capacity, which is 137 in the U.S. and 78 in Europe. As Dave previewed, our outlook for the full year 2015 anticipates revenue growth of approximately 7% to 10% over 2014. 
 Growth breaks down as follows: organic growth approximates 8% to 10%, including 3% to 4% price increase, 1% to 3% from growth in enrollment in our mature and ramping centers, 1% to 2% from new organic Full Service Center additions and 1% to 2% from our Back-Up and Ed Advisory services. In addition, acquisitions add approximately 1% to 2%. Offsetting these increases are the effects of center closings, which can include both legacy organic and acquired centers, of approximately 2 percentage points and projected reductions from foreign exchange to rate differences of also approximately 2%. Both of those primarily affect the Full Service segment. 
 We're planning to add a total of 45 to 50 new centers, including organic new and acquired centers. And our current outlook also contemplates closing approximately 25 to 30 centers, including the handful of underperforming centers acquired as part of the groups that we added in 2013. We expect that income from operations in 2015 will expand approximately 100 to 125 basis points from the 11.1% adjusted income from operations that we reported in 2014, primarily on gross margin expansions and secondarily from a bit of modest overhead leverage. 
 For the full year, we expect amortization in the range of $28 million to $29 million; depreciation of approximately $55 million to $57 million; stock compensation of approximately $9 million; and interest expense in the range of $41 million to $42 million for the year, assuming continued 4% to 4.5% borrowing rates on our term loans and no borrowings required under the revolver based on our expected cash flow generation. 
 We now estimate, as I mentioned before, that the effective restructural tax rate will approximate 35.5% of our adjusted pretax income in 2015, which is broadly consistent with the 2014 full year rate and the projected GAAP reported effective rate for the rest of 2015. 
 Combination of top line growth and operating margin leverage drive adjusted EBITDA in the range of $270 million to $275 million for the full year 2015 and adjusted net income in the range of $110 million to $112 million. The share buyback that we completed in December of 2014 adds roughly $0.03 to $0.04 a share to EPS after considering the incremental interest expense on the term debt, but this is offset by the projected foreign exchange impact that we talked about. 
 One other element, though, that we're noting this quarter is that the lower tax rate contributes to modest EPS expansion. And so as a result, we now estimate that the adjusted EPS will increase to a range of $1.74 to $1.77 in 2015. 
 Lastly, for the year, we're estimating weighted average shares to range between 63.5 million and 64 million shares. On the cash flow side, we project that we'll generate approximately $180 million to $190 million of cash flow from operations, which translates to $145 million to $155 million of free cash flow net of the projected maintenance CapEx spending of around $35 million. 
 Based on the centers in development and slated to open in 2015 and early 2016, we expect to invest approximately $50 million to $55 million in the new center capital and $25 million to $30 million on acquisitions. We expect to fund all of these investments from operating cash and would end the year with $140 million to $150 million cash on hand. 
 Looking specifically to Q2 of 2015. We expect our top line growth to continue to be in the range of 5% to 7%, including the impact of the lower foreign exchange. Our outlook for the adjusted EBITDA approximates $72 million to $74 million and for adjusted net income in the range of $30 million to $31 million. With approximately 63.5 million shares outstanding, this would translate to adjusted EPS in the range of $0.48 to $0.50 a share for the second quarter of 2015. 
 So with that, Jerry, we are ready to go to Q&A. 
Operator: [Operator Instructions] The first question is from Gary Bisbee, RBC Capital Markets. 
Gary Bisbee: The -- can you clarify the Ed Advisory comment? Was there a change in policy of some sort? Or was it just sort of the timing as this stuff flowed in? 
David Lissy: Well, the first issue on Q1, Gary -- I'll let Elizabeth talk about the change in what we talked about. But the first is there's always seasonality in Q1, so it's always a somewhat lighter quarter than what we expect to see as the year progresses. But we also have a -- we also had -- did have a change that I noted before. I'll let Elizabeth talk about it. 
Elizabeth Boland: Yes. So we have -- the Ed Advisory business is serving clients through what is essentially Software-as-a-Service to a large degree on the administrative side. And so for the period of time where the client is not able to use the product, we're deferring that portion of the contract time to recognize it over the client life. So during that 3-month implementation period or so, we will be -- we won't be recognizing the revenue. It's not a huge number. It's maybe $0.5 million in the quarter. But it does show as a little bit of a sequential change, and so we just wanted to make note of it for the quarter. And after this year, it should be okay in the comps, but it'll have a little bit of an effect this year. 
David Lissy: Yes. And just -- I'll just -- and I'll end that, Gary, by saying there's still really good momentum in that business. And none of what Elizabeth just said has any effect on our sort of ability to close new business, which continues to happen at levels similar to what I had reflected on the last time we talked. 
Gary Bisbee: But there -- for a couple of more quarters, this would linger through a delay from when you sign business relative to how you were booking it last year? 
David Lissy: Yes. I mean, for the year, we had commented that we think it's a 20% or north of 20% grower. And I think if you didn't have this nuance, we would be right there. And I think this could have the effect of a few percentage points less once the year plays out. 
Gary Bisbee: Okay. All right, fair enough. And then little growth in centers again. I know you said there were 8 new ones, so presumably there were a number of closures again. I guess I wonder, are any of those from those 2013 acquisitions? And if you add -- if they are and you add those in aggregate with the closures from last year, do you evaluate in hindsight the acquisitions or think any differently of them than you did when you did them? Or were most of these closures really like subscale and you knew it when you bought them? 
David Lissy: Yes. I mean, I think anytime we do diligence on acquisitions, Gary, particularly in '13, when we acquired large networks here in the U.S. and the U.K., there's always -- we always circle up some suboptimal performers that exist in any network that's out there. And so lots of times, it becomes more challenging, I'll say, to act on them too quickly because we're trying to get integration right and move -- proceed through. But we have them circled up. And as time goes on, we do act on them. Sometimes, the contract will come up. Other times, different things will happen. We had 7 closings in first quarter. 4 of them were associated with past acquisitions. So I think that gives you order of magnitude. 
Operator: The next question is from Manav Patnaik of Barclays. 
Manav Patnaik: So on the M&A front, you mentioned there was a good pipeline, obviously, on the small to mid-sized. I was wondering, when you think about the larger ones, I guess, like you did in 2013, it seems like at least in your existing countries, it doesn't feel like there's a lot more of those larger ones that you can do. So I was wondering if that's a fair characteristic. And then as sort of an extension of that, like, when is the time that you decide to enter new countries? 
David Lissy: Well, I would say, Manav, first, that as I look at the pipeline of active discussions on the M&A front, that it's a healthy mix of single, 2 or 3 center operators with some of what we'd call larger acquisitions for us. But I'd caveat larger by saying larger looks a little bit like the ones that we acquired in 2014, maybe even a little less than that, so -- in terms of numbers of centers. So I would say that in both the U.K. and the Netherlands and also here in the U.S., there still remains a few of those that are out there. And as I said earlier, I can't predict when we'll get them done or if we'll get them done. But based on what I can see now, particularly relative to where we were at this time last year, I feel good that we'll able to produce a year where acquisitions will look different than they did last year. 
Manav Patnaik: Okay, fair enough. And then just by -- I guess, on the Ed Advisory side of things. I mean, are there M&A opportunities there? Or is it just more sort of an organic growth business? 
David Lissy: Yes. I mean, we are now the largest player in what is an emerging niche business line. So there clearly are smaller operators in that business but nothing that would be a game changer as it relates to changing the sort of -- wildly changing the trajectory of growth on that side. I think we may get -- who knows? Over time, we may find some smaller ones to tuck in. But I suspect that on the Ed Advising side, most of our growth will come organically. 
Manav Patnaik: Okay. And then just last one, just a follow-up for Elizabeth. The FX is obviously just in the center-based line item, correct? And also, I guess, the assumption of 2% headwind, I think, for the full year, that's based on current rates? 
Elizabeth Boland: Yes. It's based on current rates where we are now. So there's obviously a variety of outlooks out there, but that's what it's based on. And it is in the Full Service. There's a -- we have some Back-Up in the U.K., but it's not meaningful. 
Operator: The next question is from Sara Gubins, Bank of America Merrill Lynch. 
David Chu: This is David Chu for Sara Gubins. So you posted a strong margin expansion in the quarter but expect a slight downtick from this for the year. So why is the 1Q rate not sustainable? 
Elizabeth Boland: You mean of the 180 basis points on operating margin? 
David Chu: Yes. Just the operating margin line, yes. 
Elizabeth Boland: Yes. I think there is a couple of factors. One is what we're comping against in the first quarter of last year. Obviously, in Q4 of last year, we had also a very strong quarter, so I think it's just how it averages out for the year. Our view is that, as the year goes along, we have the same kinds of factors that will continue to drive improvement in the -- in each of the segments. So it's -- I mean, I think there's not -- we're not seeing it as a deterioration from an overall performance standpoint. 
David Chu: Okay, got it. And then last quarter, I believe you mentioned that Back-Up Care was supposed to grow in like the low teens; and Ed Advisory, north of 20% for the year. Is this still a reasonable expectation? 
David Lissy: Yes. I think that's -- I'd say that's exactly right, David, except for what I caveated in response to Gary's question about the change that we talked about earlier. So on the Ed Advising side, it may be a few percentage points less than 20% based on the change, but -- based on the change of what we're doing with the recognition. So -- but on Back-Up, I'd say it's -- we're in the same place that we had talked to you about in the past. 
Operator: The next question is from Jason Anderson, Stifel. 
Jason Anderson: The question on -- you talked about -- I guess Manav or someone or somebody had a question about some other potential acquisitions, whether it be in Ed Advisory. But I was thinking, too, how about -- are there other employer benefit-type verticals you could expand into or that you see out there that may be something entirely different that -- kind of adding to your suite of products? 
David Lissy: Yes. And I think that's certainly one of the -- one of our thoughts as we look to grow is how can we better leverage the relationships -- strong relationships that we have with our clients. And I think we've successfully shown we can cross-sell new services into existing clients. And it may be that in the future, we'll land on something that we think is the next great idea with respect to that. Right now, though, Jason, I would tell you that we're all in on what we have. We think Ed Advising has great growth opportunity. We want to invest in it. There are some product enhancements we can make to each one of our services that we think can drive additional revenue within those segments. And we're going to do that. And we'll continue to look. And if we find something, then it's entirely possible. But there's nothing in our sights right now that would affect 2015. 
Jason Anderson: Okay. And then another one from me here. The closings you mentioned, it sounds like that ticked up a bit, I believe. Is that -- did I hear that correctly? And if so, what changed, I guess, from last quarter to this quarter? The closing guidance, I'm sorry. 
Elizabeth Boland: Yes. No, I think it's -- I think that's just the additional 3 months of visibility into what the timing of either the centers that we'd circled up that Dave mentioned from the time of the acquisitions in 2013 and when we may be exiting a couple of those programs and/or just the normal -- some normal cycling that we just have better visibility on in the month of April than we did in -- earlier in the year. So it's nothing more than that. 
Operator: We have a question from Andrew Steinerman, JPMorgan. 
Andrew Steinerman: Did you mention it? If not, could you mention how much revenue from acquisitions contributed in the quarter? And then also looking at the second quarter with the acquisitions that we already have, what might the contribution be? 
Elizabeth Boland: Yes. So the -- we acquired 5 centers in total last year, Andrew, and the contribution from those 5 in the quarter was just under $2 million. It's about $1.75 million, and it would be a similar -- about $2.5 million, perhaps, with the additional center that we acquired in Q1. 
Andrew Steinerman: You're saying $2.5 million for the second quarter number? 
Elizabeth Boland: For the second quarter, yes. 
Andrew Steinerman: Perfect. And could you just mention if there's been a change in the competitive landscape domestically? 
David Lissy: Yes. No real change, Andrew, to what we've been talking to you about in the past. 
Operator: The next question is from Jeff Meuler from Baird. 
Jeffrey Meuler: Can we maybe revisit the Back-Up Care long-term margin potential and the framework? So what are the -- like the prereinvestment incremental margins for Back-Up Care? What investments do you need to make to accommodate the growth? And I guess, what's the current thinking in terms of how high the margins can go over the longer term? 
David Lissy: Jeff, with respect to Back-Up, we're not foreseeing much more expansion in margin in that business. Each quarter, it may fluctuate a little bit. But overall, I think, as times goes on, it really is a top line growth story with very solid margins associated with it. With respect to longer term, if we're going to find improvement in that business, it's going to be through the use of technology, better service delivery that takes some of the manual processes and puts them online. That will require some investment upfront in order to make happen. But ultimately, if there's longer-term opportunity in the gross margins in that business, it's less volume flowing through the call center, for example, and moving to things like our mobile app, which we're just rolling out, and other ways that we can use technology to deliver service. 
Andrew Steinerman: Okay. I just feel like that's been an area where you've been good at under-promising and over-delivering recently. And then, can you remind us, what are the -- what's the margin delta between the U.S. and the international markets in the Full Service business? 
Elizabeth Boland: It's probably 3%, 4% or so. The centers in the U.S. have the advantage of both being a bit larger, and so they just have a little bit of innate leverage in some of the fixed costs that are there. But it's pretty close. Overall Full Service margins are in the range of 20% to 21%. So the U.K. business is in the high teens, and the U.S. is a bit over 20%. 
Andrew Steinerman: Okay, then one more from me. Just with the unemployment rate dropping and starting to see some signs of wage inflation in the broader economy, just -- how are things going for your talent pool? So just any insight into voluntary turnover, wage inflation, ability to recruit employees, et cetera. 
David Lissy: Yes. I mean, our biggest issue, which we've talked about in the past, is the declining supply of qualified teachers in the early childhood area, and that's been a long-term structural problem for the past 5 to 10 years. It's not getting any better. So as I've talked about in the past, we've had to make -- we've invested in our online university, and we're doing a lot more credentialing of our own and, as you say, focusing on retention. There are pockets around the country where wages are increasing slightly ahead of other places, but I think we've got a good plan in place for '15 that contemplates the right levels of wage increases against the tuition increases that we have. And so even though it averages out to what I talked about earlier, there are some places where we can move tuition slightly ahead of our average and, as a result, move up wages. So we continue to monitor it, obviously, on a very local basis, but I feel like we're in good shape for the year. 
Operator: We have a question from Anj Singh, Crédit Suisse. 
Mark Wallach: This is Mark in for Anj. I had a question on potential new center adds. I know you guided to 45 to 50 new centers in the plan for 2015. What could allow you to exceed or prevent you from meeting that plan? 
David Lissy: Yes. I think within that plan, what would always -- there are 2 real challenges to our center number -- opening number in a year. One is just timing. Of course, we're sitting here in almost May and trying to project the specific timing of when things are going to open each quarter in Q3 and Q4. And sometimes, we see slippage from quarter to quarter or from quarter 4 to next year. So in the micro, there's always that slippage that could challenge it. On the other side of it, the thing that could provide an uplift would be acquisitions ahead of what our typical run rate would be for acquisitions. So a normal year acquisition-wise for us on the smaller stuff might be 10 to 15 centers. If we get a larger acquisition done, from purely a center count perspective, it could have some upside with respect to our center numbers. 
Mark Wallach: Okay. And any color you can give us on the plan for geographical? 
David Lissy: Do you mean new geography? 
Mark Wallach: Yes. Like where do you expect those adds to be? Are they going to be new or -- yes. 
Elizabeth Boland: We have -- our plan includes sort of proportionate growth, primarily organic growth in the U.S. And we would expect -- we're pursuing acquisitions in all 3 of the markets that we have. So the -- as Dave mentioned, our bogey is the equivalent of, call it, 15 centers from acquisitions. And there'd be an element that, that would be in the U.S., in U.K. and in Holland proportionately. But otherwise, we have the same -- the other growth would be proportionate to where the business is, so 80% U.S., 20% abroad. 
Mark Wallach: Got it. And can you give us just a quick update on utilization and what you're seeing in the typical utilization for your acquisitions? 
Elizabeth Boland: So on utilization, we had, as I think we mentioned, another solid quarter of year-over-year gains. So over 1.5%, rounding to 2% in the quarter. So our utilization is across the mature system in north of 75% at this stage. In terms of the utilization that we have from acquisitions, it's really -- it varies a lot but tends to be -- I would say the centers tend to be in that same range but could be anywhere from 65% to 75% or 80% occupied. They tend to be, on average, slightly smaller centers who have that opportunity to be a little bit more enrolled. As we've talked about in the past on acquisitions, we tend to be buying centers that are performing well and trailing earnings as forward earnings unless we're acquiring a group that has the centers in ramp. 
Operator: The last question is from Jeff Silber, BMO Capital. 
Jeffrey Silber: Elizabeth, when you gave your -- the details on the guidance for the year, I think you said the impact on revenues from acquisitions was about 2%. I'm just wondering if you can give us the impact on your adjusted EBITDA guidance and your cash expectations for the end of the year. 
Elizabeth Boland: You mean from acquisitions? 
Jeffrey Silber: From the acquisitions, correct. 
Elizabeth Boland: Well, typically, acquisitions are going to be generating 15% to 20% or so of revenue. I'd actually -- let me actually try to see if I can sketch that out. I don’t have that right on my fingertips. But from a cash standpoint, our guidance included spending $25 million to $30 million on acquisitions and so ending the year with the cash balance, $140 million to $150 million, incorporated that sort of spending. So it's just the EBITDA question that I need to just take a gander at. 
Jeffrey Silber: Yes. I guess, from a theoretical perspective of it has a 2% impact on revenues, would it have a smaller impact on EBITDA? 
Elizabeth Boland: Yes. 
Jeffrey Silber: Okay. That's it. I just wanted to double check on that. And then, just in the first quarter, was there any adverse impact from the bad weather you guys had in Boston and the rest of us had around the country? 
David Lissy: Nothing that was material, Jeff. We obviously are counted on with -- on the Back-Up side to deliver in bad weather. And we had some pretty remarkable stories of centers opening up when pretty much everything else was closed and caring for employees of hospital workers and people that needed to get to work during that time. So Back-Up is a chance really to -- for us to really shine in that regard and really show clients what we can do. That really helps them in critical times. We did have some of our centers closed for a few days in the Boston area and some other areas. But again, I don't really think that anything that occurred had any material impact on the quarter.
 Okay. Well, I think we've circled through everybody who had a question, and we want to thank everybody for joining us on the call tonight. We are very pleased with the start for the year, and we look forward to seeing many of you on the road in the coming months. Thanks. 
Elizabeth Boland: Thanks, everyone. 
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.